Operator: Good morning, and welcome to Titanium Transportation Group's Q1 2024 Conference Call. On today's call, we have Ted Daniel, President and Chief Executive Officer; Alex Fu, Chief Financial Officer; and Marilyn Daniel, Chief Operating Officer. Before we begin, I would like to remind everyone that certain statements made on this call today may be forward looking. In that regard, please refer to the risk factors and cautionary provisions outlined in the press release issued by the company yesterday as well as the filings made by Titanium on SEDAR. Please note that this call is being recorded Tuesday, May 14, 2024. A replay of this call will be made available until midnight on May 28, 2024. The details of the replay can be found on Titanium's website under the Investors section. I would now like to turn the call over to Titanium's President and CEO, Ted Daniel. Please go ahead, sir.
Ted Daniel: Good morning. Thank you, operator, and thank you all for joining us. During the first quarter of 2024, unfavorable market conditions persisted within the transportation logistics industry, Muted economic activity, overcapacity, inflationary input costs, geopolitical and end market uncertainties continue to impact freight demand and volume. I'm pleased to share that our team was able to successfully navigate through these disruptive industry conditions and deliver another profitable quarter. In the first quarter of 2024, we generated $115 million in revenue, an 8.3% increase over Q1 of 2023 and $9.5 million in consolidated EBITDA. As outlined on our previous conference call, we had anticipated these market conditions and our diversified business model positioned us well to steer through them. Once again, these results reiterate Titanium's proven ability to deliver consistent results through an unrelenting focus on operational excellence, prudent capital allocation and a strategic model of almost equal asset and asset-light business segments. Turning to our segmented results. Our Trucking business continued to drive growth. We delivered revenue of $59.6 million in Q1 2024, a 15.5% increase year-over-year. EBITDA margin came in at 12.6%, a decline from Q1 2023. As I mentioned previously, this 570 basis point decline in EBITDA was mainly due to the segmented, the segment absorbing the majority of integration costs from the acquisition of Crane, as well as soft economic conditions. We expect to see growth in the second half of the year. The current freight environment continued to exert downward pressures on the Logistics segment of our business. Despite these unfavorable conditions, Logistics generated revenue of $56.2 million, flat compared to Q1 of 2023 with EBITDA coming in at $3.1 million in Q1 2024. EBITDA margins for Logistics during the quarter were 5.5% in Q1 of '24 compared to 9.3% in Q1 of '23, a 320 basis point decrease. I would like to highlight that even with continued pricing pressure during the first three months of the year, our team was able to grow volumes organically across both our segments. Truck Transportation saw an increase in volume of 23%, mainly attributable to the acquisition, which offset losses in volume due to strategic pricing decisions. On the Logistics side, volumes increased approximately 28% year-over-year. Our growth notwithstanding economic challenges is not only a testament to the strength of our technology and people, but it's a reminder that we're uniquely positioned to take advantage of an eventual market improvement with the foundations we have built over the years regardless of economic conditions. Speaking of foundational platforms. Titanium's commitment to scale our business in the U.S. market will be the major driver for our next stage of growth. As of Jan 1, 2024, we started to see the benefits of our acquisition of Crane, as their operations were migrated onto the Titanium technology and financial platform. This directly contributed to significant growth within our Truck Transportation segment. As discussed, we anticipate a temporary adverse effect on margins during this period of integration, which was experienced during Q1. Looking ahead, we expect Crane to be a core asset in our business and enable customers to access our comprehensive freight management offering driving growth in Titanium's U.S.-based Logistics business. In addition to capitalizing on the benefits of our Crane acquisition this quarter, we have directed considerable focus to identifying innovative solutions to achieve profitability within this environment. As we evaluated pricing concessions requests from our customers, we opted to remain committed to responsible rates to operate in this environment, which resulted in the loss of unprofitable volume. Furthermore, through advanced data analytics, we purposefully allocated capacity to sustainable or flexible markets. Overall, Titanium's steadfast commitment to deliver sustainable and profitable growth is the driving force behind every action we took during the quarter and continues to be our top priority as we navigate this market. Despite the current economic challenges, we remain focused on strengthening our foundation of people and technology, all while enhancing our capital position. We are also committed to operating responsibly whether through sustainable contractual pricing or unyielding fleet safety standards. Our capital allocation strategy prioritizes debt reduction, while maintaining dividend payments and opportunistic buybacks via our NCIB. Our continued focus remains on scaling for future growth and generating long-term value for our shareholders. With a refreshed fleet and reduced capital expenditures, we expect to generate substantial free cash flow over the next 18 to 24 months. We strongly believe, as we always have that, a prudent capital management strategy coupled with good governance is a backbone to current and future long-term sustainable growth and profitability. Due to significant pricing pressures from ongoing adverse economic factors, we're revising our 2024 full year revenue guidance. New range is $470 million to $490 million and our EBITDA margin target percentage has remained the same. Despite market conditions with the acquisition of Crane, as well as our developing freight brokerage offices, we remain resolute in preparing Titanium for future growth. We also anticipate the addition of at least one more brokerage office this year. With that, I'll turn it over to Alex for a more detailed discussion of our financial results for Q1. Alex, take it away.
Alex Fu: Thanks, Ted. In the first quarter of 2024, on a consolidated basis, titanium generated revenue of $115 million, compared to $106 million in Q1 2023, an 8.3% increase. We delivered EBITDA of $9.5 million with EBITDA margin of 8.2%. Diving deeper into segment performances, the Truck Transportation segment saw revenue of $59.6 million, an increase of 15.5% over Q1 of 2023 and EBITDA of $7.5 million with an EBITDA margin of 12.6%. As Ted mentioned, it is important to note that, these results include the segment having absorbed a significant portion of continued integration costs resulting from the acquisition of Crane. We expect this to last for the next few quarters. The logistics segment generated revenue of $56.2 million compared to the same period last year. EBITDA was $3.1 million compared to the $4.6 million in Q1 2023 with an EBITDA margin of 5.5%. During the quarter, we took meaningful steps to identify redundant assets in our portfolio. These measures include the sale of about 21 acres of unused raw land in Cornwall, which closed earlier this month. This aligns with our capital allocation strategy, reinforcing our commitment to strengthen our balance sheet, rapidly paying down debt and improving our overall capital position. Given the strength of our business and our confidence in the earnings outlook, we maintained our dividend, declaring a dividend of $0.02 per common share. To conclude, I would like to highlight that, we have a strong balance sheet, which will continue as always to be our focus as we navigate these economic headwinds. I would now like to turn the call back over to Ted.
Ted Daniel: Thank you, Alex. Despite industry-wide challenges, Titanium delivered a profitable first quarter. While we anticipate continued macroeconomic uncertainty for the first half of 2024, our expectation is that, the market will improve toward the latter part of the year, with reductions in capacity to the freight market, enabling additional organic growth and shareholder value. Navigating this environment has been difficult, but we have demonstrated that we have the right management team in place to execute our growth plan and take advantage of end market weakness. For the remainder of the year, we'll remain focused on continuing to grow and diversify our customer base, leveraging the strength of our U.S. based footprint, utilizing technology to strategically allocate capacity and continuing to deliver sustainable and profitable growth. With that, I'll turn it over to the operator to open the line for Q&A.
Operator: [Operator Instructions]. Your first question comes from Yuri Zoreda with Canaccord Genuity.
Yuri Zoreda: First, just on Logistics. I think you called out some potential margin compression in the last call. But I was a bit surprised by the magnitude compared to past quarters, and given where spot freight rates are. I was just wondering if you could provide any more color on the drivers on any other specifics behind that margin weakness.
Ted Daniel: I'm glad you asked that. Let's start -- a couple of things, right? We're going to start with the fact that, there's a lot of pressure on pricing, a lot of competition out there right now. The pricing pressure is significant. In a way, there's more pricing pressure than there is at this point in time. There's less movement at the carrier level. There is a little bit of margin compression, number one. Number two, we're also dealing with the fact that, there is an element of fixed costs in a brokerage formula. We do a really great job balancing fixed and variable, but there is an element of that. The other thing is that, we're actually still in growth mode. Albeit, we are profitable, it's a little compressed. But what's really, in a way, I'm kind of glad you asked this because I'm actually excited to answer this question, because we're in growth mode in Logistics. We are in the process of adding actually not reducing certain headcounts in particular. Those are headcounts that are involved in increasing volume, increasing growth, building out new for additional offices this year. So we're actually a bigger broker today. In fact, we're a bigger company today than we were a year ago. Our brokerage has grown by over 22% in volume year-over-year. That's incredibly exciting. As soon as things turn, that's going to explode.
Yuri Zoreda: Thank you. That's quite helpful actually. And then, I think just shifting gears a little bit, I just like to ask about the overall dynamics that you're seeing so far in Q2 compared to Q1. Of course, you mentioned pressure, but just want to know, how that's playing out and also on the pace of the sequential margin improvement that you expect to see, given that you kept the margin guidance unchanged. How do you see that playing out throughout the rest of the year?
Ted Daniel: Sorry, just, I'm trying to clarify the question here. If you don't mind, you're talking about the economic pressures of the pricing environment that we're currently in?
Yuri Zoreda: I'm talking about the dynamics in general in Q2, compared to Q1. Sequentially volumes, pricing do you see -- are you seeing the same types of pressure? And then what does that imply, given the unchanged margin guidance for Q2 and the second half of the year?
Alex Fu: Yuri, it's Alex. Obviously, with our EBITDA margin unchanged, we do expect EBITDA improvement over time. Q2 remains a little soft comparable to -- it's a little better than Q1. However, our volumes like Ted said continues to be strong. We are expecting that, in later half of the year that, the margin will climb, so that we will be within the 10% to 12% range. That is our expectation going forward. If it's a Q3 or Q4 recovery at this point, it's difficult to tell.
Ted Daniel: I'll just add a little bit to that in terms of our second half expectations of the year. We expect to continue to see capacity exiting the marketplace. We consider it -- we know that will have an effect on the current pricing market. We are hearing from our customers, who have also been down in volumes that they expect to see increased productivity in the second half of the year as well. We are sort of aligned with that and we've been very cautiously watching our customer volumes as we go through that. But there is a little bit of a shift already in terms of tell tales for the second half of the year, in a positive light.
Operator: Thank you. Your next question comes from Benoit Poirier with Desjardins.
Benoit Poirier: Just on the contract rate front, are you seeing competitors being more aggressive than expected and undercutting the market? And when would you expect contractual rate to increase or maybe it's more a 2025 story?
Ted Daniel: I mean, nobody has a complete crystal ball. But I think we have seen some of that neutralize a little bit already. I think some of the -- we'll call it hyper-competitive undercutting of rates seems to have softened just a little bit, and part of that is again because a lot of the carriers have hit bottom. The exits are starting, I will call it a bit of a purge is already underway. I don't think it's as far out as 2025. 2025 will be a continuation of the same story in terms of a realignment of shipper and freight markets, et cetera, with their carriers. But in terms of pricing in the current RFQ marketplace, it is neutralizing a little bit already.
Benoit Poirier: Okay. That's great. When we look at the integration Crane last quarter, you mentioned that it was to continue until the end of second quarter 2024. We didn't see any mention of the MD&A. Any update on the integration of Crane?
Ted Daniel: The integration of Crane is still ongoing. We didn't specifically mention the margin compression or how much of that quantify it, because it is now in the second phase of the integration, where we are done the physical part. We are into the culture and optimizing the lanes and routes. That takes time and the cost is a little more harder to separate. But we are seeing that margin compression. Of course, the market as well doesn't help during this time. But we are expecting it to finish second and third quarter this year. We are expecting that this will be a huge benefit to Titanium once it's completed, especially when the market conditions improve. We are very excited that, Crane is now within our portfolio. I'll pass it off to Marilyn for her --
Marilyn Daniel: I'll say that, we are on track as expected to our plans. As Alex mentioned, our integration physically was completed at the beginning of this year, 2024. We are in that optimization phase. We have now had the opportunity to get in front of a lot of new customer base in the United States, adding our names to RFQs and business opportunities that we expect to see our rate of return on hopefully, by the second half of this year and certainly into the future beyond that. Remembering that Crane was a large door opener for us into the U.S. marketplace, both on the asset and on the brokerage side for exposure and leverage to some of our current accounts, some of the accounts we acquired through Crane and now new opportunities that we are getting into that was a barrier for entry for us without having the assets in the U.S. We're very excited to see where Crane moves along and it's completely on schedule for what we had set it up for.
Benoit Poirier: Okay. In your --
Ted Daniel: Sorry. I was just going to say, it's purely a strategic acquisition right in terms of the fact that we're going to be cross selling and that, there's going to be holistic offerings that are going to augment significantly just the purchase itself.
Benoit Poirier: That's great. Last one for me in your MD&A, you mentioned committing to CAD8 million in CapEx towards the purchase of 100 trailers. You did about this figure in Q1, so does it mean that, you're mostly done for the year? And also wondering if you have any other underutilized assets you could monetize?
Ted Daniel: As we continue forward, we are going to continue to evaluate underutilized or redundant assets in our portfolio. I can't say that, we will or will not divest of any of them going forward. One of the things that we are looking at, for example, is our trailer pool. As we refresh them, we are also looking for older excess age redundant assets. Onto our CapEx, we are substantially completed in Q2. We have completed our refreshments cycle. There are some CapEx in Q2, but going forward, that would be it. We are not expecting any additional capital expenditure, unless the market requires us to.
Operator: Your next question comes from Steve Hansen with Raymond James.
Steve Hansen: Perhaps a naive question, so I apologize. But I just wanted to ask a bit more about the pace of the Crane acquisition and integration, particularly in the context of the software backdrop. I have to imagine that, on the one hand, perhaps it highlights some of the cost redundancies a little more easily with softer backdrop. But then at the same time, it might also make it harder to generate the revenue synergies on the other side. I just wanted to understand that dynamic a little bit and how you're thinking about it from I think you referenced already the physical side has already been done, now you're moving on to the more intangible stuff. But maybe just a bit more context around how you see that in the integration in the context of the software market? Thanks.
Ted Daniel: It's actually a very good point. I appreciate you phrasing it that way. It is always easier to integrate a company when you've got tailwinds. In this particular case, we are integrating and we are dealing with a situation where you've got headwinds. That's one of the challenges. One, you're looking at optimizing now. You're looking at making a company more efficient. But you're doing it at the same time, as you've got headwinds throughout an integration process. That is definitely more challenging. However, again having said that, we've got really good navigation systems. We have great technology. One of the things that we're able to do is, we're able to move more of our platform, do the analytics, use our boards, use our navigation tools and work through the circumstances and as well not just the tech, but put the tech and the right people in place. That as soon as there's an inflection, we're able to take advantage of the opportunities. Again, for us, we offer a more holistic type of product. It is both asset heavy and asset light. We are able to package that up. And then, that's kind of what we're moving that environment to. It's not just trucking terminal in Georgia. It's essentially having both the ability to leverage our assets and our non-asset-based business throughout essentially the Eastern seaboard and the rest of the United States. That's kind of the way we're navigating through this cyclical component or cyclical time, given the timing of the acquisition.
Steve Hansen: Just to go back to one of the comments earlier about capacity starting to purge or get vacate from the system. I mean, are you seeing that in any specific market that you're covering in for your geographic standpoint or customer end market? I'm trying to get a sense for whether it's equally spread that purge or if it's isolated to some pockets versus others or how you see it across your territory? Thanks.
Marilyn Daniel: From what I can see so far, what we can see so far, it's not necessarily geographical, nor is it product line driven. It seems to be rather general across the board. As you know, when COVID was a thing, there was a huge amount of entrance into the marketplace both in Canada and the United States. If you could buy a truck, you were in trucking. And then, that sophistication required to operate a transportation company is now coming to fruition in reality for most of these carriers. We are seeing that across the board. I don't think I'm seeing anything specific to reefer, flatbed or heat services, et cetera. It seems to be rather generalized. I would say, the provinces and states that it's most expensive to operate in, so the your Northeastern United States and your Ontario Quebec part of Canada, where we focus in, seems to be a little bit more harder hit, largely because it's a little more expensive to operate.
Operator: Your next question comes from David Ocampo with Cormark.
David Ocampo: Ted, when I look at your margin guidance, 10% to 12%, you guys kept it despite the weakness that we saw in the quarter. I guess, I'm curious what do we need to see in the marketplace today for Titanium to come close to that 12% margin? I guess on the more negative end, what needs to happen to see that 10% print?
Ted Daniel: It's really a number of factors. I mean, Q1 to some degree was actually really, really low. January, February are really tough months. I think that most carriers have identified the fact that, January, February really tough in terms of weather. There are lot of issues in Northeast. We lost a lot of billing days. I think they were exceptionally difficult months, as well with the headwinds in the pricing. I think it's kind of a combination. One, we're actually seeing growth in volume, which is a good thing for us in particular too. I do believe that, at this point in time, I just don't see how carriers in our brokerage environments, how they can run for any less than what they're running. As we continue to see capacity exit the market, I believe that, we're going start to see a little bit of a shift again in, call it, the sort of the balance of the negotiations. There will come a time where it's not going to be a race to the bottom on the RFQs and it's going to become a more balanced environment. I don't think anyone is looking necessarily for another COVID circumstance, where carriers are making prices up literally. They're basically asking for double, triple. That's unrealistic, and I don't think, that's stable either. That's what caused this overcapacity that's so extreme. Obviously, the tabloids are saying that this is a longer recession now in trucking than the length of COVID. Having said that, I don't love the volatility either. I prefer a more stable market. Once we see, I believe, at least some capacity exit the market, we'll see a more balanced pricing environment, where you've got at least some reasonable tension in the negotiations where sides are balanced and people can make money. That's kind of how I'm seeing it play out.
David Ocampo: Maybe a bigger picture question. When I look at your EBIT margin for Logistics, it's been consistently higher than your asset heavy Truck Transportation business. That typically isn't the case for some of your peers, whether it's in the U.S. or even in Canada. I guess, I'm wondering, is there significant opportunity in your Truck Transportation business to really ramp-up the margin profile once market conditions normalize? Like, can you get that EBIT margin to at least equalize over the long-term?
Ted Daniel: Yes. Our EBIT margin, it's difficult to compare our peers in Canada or in some of the United States ones, because we carry different lines even though it's all going on a truck. We do different lines of business. I don't think, it's comparable within the business even within the truckload they have different business lines. Obviously, we continue to use our tech and our focus for our ops team is to bring efficiency to our operating environment. We definitely look to improve on that EBIT margin. At the same time, it's difficult to say to compare apples-to-apples when you're saying that, our EBIT margin in trucking sector does that compare to our Canadian peers? Because it's difficult to see what exactly are the product lines they carry. There aren't a lot of comparables in Canada either and various product lines, whether you don't know the age of the equipment, you don't know the exact margin profile, what's above the line below the line et cetera. For us, we're quite a purified truckload. We're mostly van. We've got some flatbed. That is the majority of our truck transportation. That's same as Crane, very similar businesses. We've got a lot of experience in that. Margin definitely has to go up in trucking. Logistics is more of a variable cost business and trucking is a fixed cost business. It's real estate on wheels. When you got a fixed cost business, you got this kind of pricing headwinds. Your EBITDA and your margin profile is going to take a beating. I think that, it's just a matter of getting to a point where we can see some improvements in the pricing environment. It doesn't mean that, you're sitting back, obviously. We certainly had to make some decisions in the last little while. I think it's important that you run your business. Sometimes you got to make some of the tough choices. If that's the case, then you got to do what you got to do. But other than that, once things normalize then we'll be able to see an improvement to our margins.
David Ocampo: I guess maybe not even just a comparison to some of the peers, just given the different dynamics on what you guys are hauling, but just a comparison between your Trucks Transportation business and Logistics. I mean, the margin difference is quite large. As you pointed out, the Truck Transportation business requires a ton of capital, whether it's real estate or the trucks and trailers. Do you think those two margin profiles should eventually become a little bit more apparent like Truck Transportation outstripping logistics?
Ted Daniel: Trucking is always going to need more EBITDA, just because it's got the depreciation, whereas Logistics really doesn't -- it's almost asset zero, it's never mind asset light. The assets in Logistics are, I would say intangible. We've got our technology. We've got our people. It's a whole different environment. One is again variable costs and one requires a much higher EBITDA to compensate for really your capital allocation of trucks and trailers. If you've got newer trucks, you know what, then you've got less R&M, you've got more fuel efficiency. Honesty, you've got more let's face it, you've got more cost below the line, as opposed to above the line. If you've got older trucks, you're not going to have as much fuel efficiency and so you've got more fuel costs above the line and you're going to have as well a lot more repairs and maintenance above the line and so on. As well, generally speaking, you're going to have more trucks in the shops, so you're going to have lower utilization. That's a whole different environment. We require a much higher margin profile in trucking in the long run than the brokerage environment where EBITDA is EBT, right? I know Alex wanted to jump in on that as well.
Alex Fu: Another thing that we want to highlight is that, yes, you're right, the EBIT margin Logistics is better than trucking now and even during normalized times, but that's also why our strategic move is to grow our U.S. brokerage business because we do recognize that part. Not to say that, we're not going to grow the Trucking segment, but our focus on the organic growth is on our Logistics side and there is a clear strategic reason why.
Ted Daniel: Our brokerage grew organically by 22% over last year, which is phenomenal. But don't forget, we're also eating right now the costs of integrating a fairly sizable acquisition during a headwinds environment. We know as soon as things improve that, all this is going to excuse upon but it's going to pay off in dividends.
David Ocampo: It does make sense to continue to expand the Logistics business since it doesn't require a whole lot of capital. And then, just last one for me, Alex. Can you provide me the EBITDA contribution from Crane? I know you guys provide the top-line, but wondering if you can strip out the EBITDA contribution?
Alex Fu: Sure. EBITDA contribution for Crane for the quarter was about $1.5 million.
Operator: Your next question comes from Gianluca Tucci with Haywood.
Gianluca Tucci: You are showing great organic volume growth on your brokerage side. You mentioned at least one more office this year, I think you said, Ted. Can you give us any color on your perspective locations that you're exploring, expanding to?
Ted Daniel: I can't give you the exact state, but we're hoping that, we're going to have one and possibly even a second office by the end of the year. One will be further north, one will be further south, if that helps. As you can see, we are organically growing our brokerage. I'd like to say there are times where offense is your best defense. That's exactly what we're doing. We're just pounding away, putting more balls in the net. That's exactly the strategy we're taking.
Marilyn Daniel: Sorry just to put on there, we're basing those decisions on our growth by our increased volumes. Though you're not seeing it on the top-line of our margins just yet, but our volume is really become even more diversified and dynamic and some big differences. We are ready to keep pushing forward with our expansions into the United States and our brokerage offices and to sort of rebalance our weight between asset light and asset heavy of our overall business.
Ted Daniel: Yes, not to give the wrong impression. We're not looking to shrink our assets. We're looking to grow brokerage even faster so that the two-work hand-in-hand. Assets will remain where they are for the time being. We are going to grow brokerage exponentially beyond that.
Gianluca Tucci: That's great. Like what needs to happen for the company to explore an entrance into the West Coast of the U.S.? Like your brokerage offices predominantly on the East Coast on freight alley. But like how are you thinking about the West Coast or even like the Midwest of the U.S. in terms of expansion plans?
Marilyn Daniel: It all becomes, the who. As we move forward in the expansion, the who and where we want to be kind of goes hand-in-hand. Let's not forget that 80% of the population of the United States is not the [indiscernible], there is an obvious that way. I mean, we have our Denver location, that is definitely remains a good piece of exposure for us. But I think as we move forward, we sort of focus on where our current customer base takes us as well as our human capital.
Gianluca Tucci: Okay, perfect color. Thank you. Just on the balance sheet, great work paying down debt in Q1. Could you provide or like what are you targeting for your annual debt reduction this year at this point? Could you give us a targeted debt-to-EBITDA ratio that you're aiming at exiting at this year?
Ted Daniel: Alex is salivating to answer this question.
Alex Fu: We're still aiming to pay down debt of about $40 million in the year. We did a lot of -- there's a lot of action in the start of the year for us to pay down debt. We had volunteer payments as well as divesting some redundant assets to reduce our debt levels. We've done a lot this first quarter. But not to say, we're not doing anything else in the year. But our target is $40 million if we end up taking action again and removing more redundant assets and we may accelerate that. But again, I stress our target is $40 million for the year, about $40 million for the year. Sorry, what's the second part of the question again?
Gianluca Tucci: Your targeted debt-to-EBITDA ratio exceeding this year?
Alex Fu: We're hoping that we can bring it down to about 2.2x to 2x. That's our target. In the current environment, debt-to-EBITDA is it's a little bit of a moving target. It's harder to tell if we can get there. But with our expected EBITDA from our outlook, we are pretty confident that we can get down to that level.
Ted Daniel: We'll be close to 2:1 on that actually. We should because let's face it, one's a numerator, one's a denominator as much as we're pounding away at debt. If EBITDA goes down, which it's not going to go down the second half of the year for sure, but obviously, with Q1 being a little bit of an anomaly, even though we paid down debt, which is great, EBITDA went down. It wasn't a great quarter. Your EBITDA is down. Both numerator and denominator went down. That's why EBITDA to debt more or less pretty much stayed the same quarter-over-quarter.
Gianluca Tucci: That's good color. Appreciate that. And then, just lastly from our end here, with all the noise in the rail these days, Ted and Marilyn, how are you positioning to benefit from a potential rail strike later this month?
Ted Daniel: We're not sure, if there's going to be one.
Marilyn Daniel: If there's going to be one, we are prepared for it. We have partnered with a lot of our customers in terms of putting contingency programs in place for our customer base that relies on rail. It's a good thing for the trucking industry when there's a rail strike, I'll say it well. Whether it will come to fruition or not, we're not sure at this point. There seems to be some talk now that there may not be a rail strike. We stay tuned on what's going on there and we are definitely prepared to take advantage of that situation as it if it arises.
Operator: Thank you. There are no further questions at this time. I will now turn the call over to Ted Daniel for closing remarks.
Ted Daniel: Thank you, operator, and thank you all for joining us today. We appreciate your interest in our company. I look forward to providing an update on our progress and all of our priorities discussed today, when we report our Q2, 2024 results in August. If there are any further questions, please feel free to contact us. Thank you again for joining us on the call today.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating. Please disconnect your lines.